Operator: Good morning, my name is Demetris, and I will be your conference operator today. At this time I would like to welcome everyone to the Lancaster Colony Corporation Conference call. Conducting today’s call will be Jay Gerlach, Lancaster Colony’s Chairman and CEO and John Boylan, Vice President, Treasurer and CFO. [Operator Instructions]. And now, to begin your conference here’s Earl Brown, Lancaster Colony Investor Relations.
Earl Brown - Investor Relations: Good morning. Let me say thank you for joining us today for the Lancaster Colony fiscal year 2008 and fourth quarter conference call. Now, please bear with me while we take care of a few details. As with other presentations of this type today’s discussion by Jay Gerlach, Chairman and CEO and John Boylan, Vice President, Treasurer and CFO will contain forward-looking statements of what may happen in the future including statements relating to Lancaster Colony’s sales, prospects, growth rates, expected future levels of profitability as well as the extent of share repurchases and business acquisitions to be made by the company. These forward-looking statements are based on numerous assumptions and are subject to uncertainties and risks. Accordingly, investors are cautioned not to place undue reliance on such statements. Factors that might cause Lancaster’s results to differ materially from forward-looking statements include but are not limited to risks relating to the economy, competitive challenges, changes in raw materials costs, the success of new product introductions, the effect of any restructurings and other factors as are discussed from time-to-time in more detail in the company’s filings with the SEC including Lancaster Colony’s report on Form 10-K. Please note that the cautionary statements contained in the Safe Harbor paragraph of today’s news release also applies to this conference call. Now, here is Jay Gerlach. Jay?
John B. Gerlach, Jr. - Chairman, President and Chief Executive Officer: Good morning and thank you for joining us. Looking at our fourth quarter performance we were pleased with strong food sales up almost 14% while bit over half that growth was pricing most of the balance was organic volume increases. Both our retail and food service channels contributed to this growth, on a consolidated basis growth of 4% primarily reflected the lack of glassware sales from year ago as candle sales were basically flat. Our biggest strategic event of the quarter was a sale of our last automotive business DZ and for the time in over 40 years we are out of the automotive supply business. The $13.3 million net loss on this divestiture triggered our consolidated loss for the quarter. Operating income was still off from one year ago showed meaningful improvement from our third quarter, improved pricing and volume from the specialty food segment were the big contributors. The material cost in the quarter were up roughly $22 million year-over-year with perhaps $15 million or so recovered in pricing. Glassware and candles were negatively impacted by a number of factors including the lack of glass contribution, much higher wax cost and lower production levels. For the year, our specialty food sales were up 11% with just less than half from pricing and the balance organic volume and the Marshall’s acquisition. On the new product front, our New York brand, Ciabatta Cheese Rolls and Pizzeria Dipping Sticks were successful product introductions, although the first significant shipment of Ciabatta will not really begin for another month or so. Retailer acceptance has been very strong, our Sister Schubert’s frozen dinner rolls supported by the new capacity we added earlier in the year continued to provide strong growth. Glassware and candles sales for the year were down primarily due to our glass divestiture in November. Candle sales were off for the year mostly from a soft fall selling season. Capital expenditures for the year totaled $16.8 million, much less than the previous two years when expenditures exceeded $50 million each year to fund our new plant construction projects. We have seen good productivity improvements from both of our new plant additions. Share repurchases for the quarter totaled 366,000 or $12.6 million and for the year 2,340,000 or $89.3 million, including 205,000 shares repurchased in our first quarter, today we have 28,240,000 shares actually outstanding and 799,000 authorized for repurchase. At June 30, we had a total of approximately 3,500 employees versus 4,800 one year ago and 5,600 two years ago. This reduced level of employment is due to our exiting several non-food businesses during this period as a consequence our business today is generally less labor and capital intense. Let me have John Boylan make a few comments before I comment on the upcoming year.
John L. Boylan - Chief Financial Officer, Vice President and Treasurer: Thanks Jay. I will briefly review several matters this morning regarding our June 30, balance sheet and fiscal 2008 cash flows. Let me start however, by noting that with the June 2008 sale of our last automotive operation we no longer have the automotive segment separately identified in our financial statements as is typical in these cases we have reclassified all of the corresponding results of past automotive operations to discontinued operations. I also want to point out that we have released some historic quarterly financial statement in segment information for fiscals 2008 and 2007 that reflect the affect of the discontinued operations. You can find this data in this morning’s filing of our Form 8-K and we hope this helps you rebase your modeling for future periods. Let’s now begin our review of several major year-end balance components. Somewhere two year please note that the 2007 balance sheet current and non-current assets and current liabilities associated with the discontinued operations had been grew within separate line items. This presentation should allow for a cleaner comparison if you will, the balance sheet amounts relating to the continuing operations. On that basis accounts receivable at June 30, totaled $59.4 million, which is a decline of about $4 million from a year ago. This decrease generally reflects a sales driven increase in specialty food receivables being more than offset by the affect of the glass divestitures enclosing that have occurred over the last year or so. All in all despite seeing some modest increase in customer financial challenges, our accounts receivable wagings remain in reasonably good shape and are fairly comparable to a year ago levels. Turning to the largest component of our working capital inventories we saw June 30, totaled a $120.3 million that also reflected a year over decrease of about $4 million, the same factors influencing receivables also affected inventories, this decrease was somewhat mitigated by the much higher material cost we faced as these contributed to increased food balances. Fortunately our focus reducing candle finished good inventories exceeded in terms of achieving lower case volumes on hand. Another balance sheet change we will comment is net property, which declined about $15 million or 8%. Although this year’s total capital expenditures of $16,832,000 was less than our depreciation expense most of the decline in our net property was driven by the November 2007 sale of our consumer and floral glass operations. Over a third of this past year’s expenditures were attributable to the completion of the new frozen roll facility in Kentucky as we look out into fiscal 2009, we anticipate seeing capital expenditures perhaps totaling $20 million or so. We do not have a single large project in mind although the lion share of these expenditures are food related. Finally, in wrapping up my balance sheet remarks I would point out that we remain financial strong with debt, net of cash less than $40 million and shareholders equity of $359 million. In June 30, 2008, all debt is all classified as long term reflecting the terms of the revised bank facility negotiated last fall. Turning to this year’s cash flows, cash flows from operating activities of continuing operations totaled $70,933,000, which compares to $82,923,000 for the prior year. Our lower level of net income contributed to this decline although we also experience some unfavorable relative changes in our working capital components. And arriving at this year’s cash provided from operations, the most prominent non-cash add back remain depreciation and amortization which totaled $24,138,000. As Jay alluded to some other annual cash flow distributions to shareholders were $89,338,000 for share repurchases and $32,578,000 for the payment of dividends. That has been the case for a number of years now, our share repurchase activity served more than just offset option exercises as we reduced shares outstanding in fiscal 2008 by more than 7% year-over-year at June 30, and greater than 20% over the last five years. Given what I’ve shared this morning in our current expectations for fiscal 2009, we believe that we continue to be financially well positioned to address our anticipated cash need whether it be for CapEx, share repurchases, dividends or business acquisitions. Further, with our recent caring of many of our non-food operations, we believe we have the opportunity to be a more consistent cash generator, than was the case in the recent past. Thanks again for your participation with us this morning. I’ll now turn the call back over to Jay for his concluding comments.
John B. Gerlach, Jr. - Chairman, President and Chief Executive Officer: Thanks, John. Looking to fiscal 2009, we see a challenging first quarter, driven by still significantly unfavorable input costs. Well, some commodity cost have come off their peaks recently, they remain at very high levels and our forward buying positions keep us from seeing much immediate help from the declines as well. Wax has shown no signs of declining in spite of lower oil cost. We are implementing significant price increases on candles at this time. Operating cost reductions are our priority with emphasis on plan, throughput and efficiencies as well as projects focused on bill control, packaging, shipping and energy related costs. Moving beyond our first quarter, we expect improving results and a better overall year. As John, mentioned, we expect capital expenditures for the year to be about $20 million. Like many, we remain concerned with the consumer’s ability to spend, but to-date see good overall food demand and although early relative to the holiday shipping period, okay candle demand. We’ve had some recent food distribution wins that help give us confidence in the future. From a strategic alternative standpoint, on August 1, we consolidated our Atlanta solid dressing operation into our other plans, which is estimated to save $1.5 million to $2 million per year. We do not anticipate any further divestitures in the near term due to weak market conditions and what we think could be greater opportunity and value in the future. While we continue to look for good fitting food acquisitions, nothing is close at this time. Today we are consumer goods business with over 80% of our consolidated sales relating to food products and we remain focused everyday on growth and sales and earnings. That means, just we are ready to take questions.
Operator: [Operator Instructions]. Your first question comes from the line of Mitchell Pinheiro.
Mitchell Pinheiro: Good morning.
John B. Gerlach: Hello, Mitchell.
Mitchell Pinheiro: Hi, can you hear me.
John B. Gerlach: Yes.
Mitchell Pinheiro: Okay, great. So, commodities are going to be a challenge for you in this upcoming year, can you talk about particularly in Q1, are you saying that with your forward buys and I guess other things, other you know, your crystal ball you expected to come down in Q2 or is just of decelerate, how would you, how about beyond Q1?
John B. Gerlach: Yeah, I would say generally Mitch, and it is a crystal ball as you know, it certainly can change but we would see a decelerating throughout the year then.
Mitchell Pinheiro: How much did it hurt you in the fourth quarter, if I recall you had about $9 million net negative in Q3?
John B. Gerlach: We we’re, I think based on what I just mentioned probably a net negative in the food business of around $7 million or so.
Mitchell Pinheiro: Okay. And, okay. So, $7 million negative in Q4. So, Q1 might look the same and then getting progressively better?
John B. Gerlach: Well I not going to quite forecast the same exactly where we are, but we do think progressively better as we move through the year, yes.
Mitchell Pinheiro: Okay. And, you have mentioned in the press release about -- I don’t know something to do with your commodity purchasing or usage like could you talk about that a little bit?
John B. Gerlach: I’m not sure what exactly you are referring to.
Mitchell Pinheiro: You had mentioned cost saving initiatives relating to ingredient usage, is that for ‘09?
John B. Gerlach: Yeah, that’s certainly an initiative where we’re pursuing aggressively for ‘09.
Mitchell Pinheiro: So, is that just better sourcing, I mean..?
John B. Gerlach: Well, this is really operational Mitch. So, this is going to ever tougher efforts in trying to reduce any kind of scrap or waste product and also tighter fill controls on many of our products where maybe there’s been a little bit bigger variation and then perhaps we can get to.
Mitchell Pinheiro: Got you, okay. And, in terms of your forward buying is there any, have you made any changes, strategic changes or any other…?
John B. Gerlach: Yeah, we do have a little more former program that’s particularly focused on soybean oil that gives us practice to follow, layering on coverage going out into the future. So, we would be pretty well covered for near term period two or three months and some coverage and going out several months beyond that, but at declining levels.
Mitchell Pinheiro: Okay, got you. When it comes to pricing, you had mentioned in your remarks that half the sales growth was pricing in the quarter. So is that so that roughly 7% for the specialty foods segment is that correct?
John B. Gerlach: Yes, that’s about right, yeah.
Mitchell Pinheiro: Okay. So, now you’re going to take more aggressive pricing, I think you know here coming quarters, can you talk a little more specific when the next increase would be implemented and roughly how much you expect to realize?
John B. Gerlach: Well, we actually did go out with July 1, price increase on our retail product lines, but overall was about 3%.
Mitchell Pinheiro: Okay.
John B. Gerlach: And then in our food service channel, that pricing is addressed at varying points in time but pricing would be going on throughout the quarter. At this point in time, we have not set any specific plans for another retail price increase but we are watching that situation closely both from the standpoint of input cost impact but also again our concerns for the realities of the marketplace too.
Mitchell Pinheiro: And you’d mentioned that you saw really no impact in terms of trade down or any impact on your -- from branded to private label or branded to more value brands. Is that…?
John B. Gerlach: Yeah, I wouldn’t say significant that we can identify it at this point but you know, I wouldn’t say it’s across the board every product line is performing the same. So, there would be a little bit of variance that could have the impact of those issues but again not clearly identified at this point.
Mitchell Pinheiro: I am looking at -- I have been doing some food shopping lately, and I noticed that Marie’s is the lowest price out there. I think I’m seeing it generally around the 299 a jar. And I see Marzetti, Lighthouse and others up at the 389 level, which is a pretty big swing. Is there a strategic, do you sense any strategic change of Marie’s or if we’re that’s a pretty big difference?
John B. Gerlach: No, we don’t sense that. I would think that could be market specific Mitch and maybe there was something going on over there for a short period of time. But generally, I think pricing in that refrigerator dressing category is very comparable with all the participants.
Mitchell Pinheiro: Okay. So, you’re not seeing any of them being more or less aggressive. Everybody is raising prices, you are still saying?
John B. Gerlach: That appears to be the case.
Mitchell Pinheiro: Okay, got you. And when it comes -- what is the, I don’t have any idea. What was the category growth for refrigerated dressings and then the refrigerated dips?
John B. Gerlach: Mitch, I don’t think I have those numbers right with me. But there was on the refrigerated dressing side, I think some modest category growth what I think the Marzetti brand are growing the category a little bit.
Mitchell Pinheiro: Okay.
John B. Gerlach: I’m not recalling exactly the veggie dip category.
Mitchell Pinheiro: Okay. And is that in dollars and unit volume?
John B. Gerlach: What I’m referring to is dollars; again I can’t recall exactly unit comparisons. So, I better not comment, right now.
Mitchell Pinheiro: Okay. In your Marzetti dressings business, both retail and retail volumes I would assume in the last quarter were up, is that correct?
John B. Gerlach: I think we actually saw stronger performance coming out of the food service channel in that quarter actually.
Mitchell Pinheiro: Okay. And so, you had mentioned that, I thought I heard you say something about like distribution gains, I mean you have some new customers or is that what’s…?
John B. Gerlach: That’s really as we get into this first quarter in this new year, as what I was particular, I mean we had distribution gains certainly going on in certain areas but that comment was specifically related to new business as we get into the new year.
Mitchell Pinheiro: Okay. Is there any new food service business that you can speak publicly about or…?
John B. Gerlach: No, there really isn’t that I could comment about specifically but I think we have been pleased with some of the new programs and opportunities we had with some of our key customers.
Mitchell Pinheiro: Okay. And, so that gives you some confidence visibility wise as you enter this fiscal year?
John B. Gerlach: Yeah, I think it does again I think, everybody remains sensitive to just to the general consumer spending issue.
Mitchell Pinheiro: Okay, got you. And, in terms of Atlanta, the closing, you closed that when?
John B. Gerlach: We closed that the last day of July.
Mitchell Pinheiro: The last day of July, okay. I thought you would have announced something like that but I guess?
John B. Gerlach: Yeah, it’s a relatively inventorial change, although its certainly a cost saving initiative.
Mitchell Pinheiro: Right. So, you don’t anticipate, I guess really where I am going also, there is no, are there any charges in Q1 here?
John B. Gerlach: You know, we will probably have a mid to upper six-figure related cost going through the quarter that’s related to that largely in place, severance related.
Mitchell Pinheiro: So that would be a cash?
John B. Gerlach: Yeah.
Mitchell Pinheiro: Okay. So that mid upper six figure that would be a cash expense there?
John B. Gerlach: That’s right. Because actually most of the equipment continues to be used, its just being relocated.
Mitchell Pinheiro: Got, you. And then, when you look at in that $1.5 million to $2 million of pre-tax savings, is that something that you would expect, I mean obviously, just closed the plans, so, virtually nothing in Q1 or very little and then maybe it is even out over Q2, Q3 and Q4 that, the remaining savings?
John B. Gerlach: That’s probably reasonable way to look at it, yes.
Mitchell Pinheiro: Okay. Just couple of more questions, if I may. In the candle business, you had flattish volumes in the quarter.
John B. Gerlach: Right.
Mitchell Pinheiro: You are going to take some pricing, is there any -- can you give us any idea, how aggressive you’re going to be or is that a competitive issue at this point?
John B. Gerlach: Well, it’s in the ballpark at double-digit pricing.
Mitchell Pinheiro: Okay, great. And, wax costs remain high. So, as you look in ‘09, would we expect the candle business to be profitable?
John B. Gerlach: We hope it can get there, but it will be close.
Mitchell Pinheiro: Okay, got you. And then, I guess last question and I’ll pass it on, is relative to the specialty food business. So, it looks like with the type of volumes you are getting, your cost savings initiatives, your higher pricing, maybe better commodity cost outlook or improving, it’s going to be like nice recovery year in specialty food, with like an improving operating margin and decent operating profit growth. Is that fair double digit profit growth perhaps in specialty foods?
John B. Gerlach: You know, Mitch, not giving guidance I don’t think we can go to those specifics here.
Mitchell Pinheiro: Okay. Okay, well, that’s all I have for now. I will pass the floor.
John B. Gerlach: Okay, thanks Mitchell.
Mitchell Pinheiro: Thank you.
Operator: Your next question comes from the line of Jason Rodgers.
Greg Halter: Hello, it’s actually Greg Halter from the Great Lakes Review. Hi, guys.
John B. Gerlach: Good morning Greg.
John L. Boylan: Hello, Greg.
Greg Halter: Good morning. On the sales side in food, as you indicated, up 14% with pricing about half, do you have what you would have done in terms of unit volume? And then maybe on the retail and foodservice side. And then how much Marshall Biscuit added to that other 7%?
John L. Boylan: Well, in the quarter, Greg, Marshall’s would have added about 1%; and then the volume side really is foodservice related.
Greg Halter: So, that it would be the other 6% or so?
John L. Boylan: Correct.
Greg Halter: Okay. The $70 million number that was mentioned in the release for the raw material costs, does that include fuel?
John L. Boylan: That does not include fuel.
Greg Halter: Okay. And does that include the candle of the paraffin wax costs?
John L. Boylan: Yes. It does.
Greg Halter: Okay. And what would you say fuel is up for the company as a whole on a quarter basis year-over-year?
John B. Gerlach: We generally ballpark that in high six-figures.
Greg Halter: Okay, so you could be talking anywhere from $7 million to $9 million? Sorry, almost $1 million?
John B. Gerlach: I guess what I am speaking to is fuel per quarter might be up high six-figures.
Greg Halter: Okay. Okay, and on that $70 million figure, I think on the previous three calls you said it was about $10 million in the first, $10 million in the second, $18 million in the third, which gives you $38 million. And then, I think I heard on the call that it was about $22 million in the quarter. If those first three quarter numbers are correct, there is about a $10 million gap there. Am I wrong in my first three quarter numbers that I just recited? Or is there something else in there that would account for that $10 million?
John B. Gerlach: I don’t have the numbers that we would have mentioned in the first three quarters. I think the way we would have phrased it would have been in excess of certain amounts. What I would also add is that the number you have today also includes wax costs; and we have done some refinement of the overall material cost impact for the year.
Greg Halter: Okay. But it’s fair to say that $70 million includes the food side and the wax costs?
John B. Gerlach: That is correct. You have got to recognize, Greg, as we get to these kinds of fluctuations in material cost that is an estimate. But we think that’s a fair estimate given the information we have at hand.
Greg Halter: Okay, and quickly back on that volume question I was asking, you said most of it was Foodservice. Is it fair to say that Retail was flat or was it down?
John B. Gerlach: Well, volumes were close to flat in the quarter, dollars were up. So, if you are speaking to pure volumes as opposed to sales dollars, retail was near flat in the quarter.
Greg Halter: Okay. And then, the pricing obviously would be the other side of that. Okay. Relative to the Atlanta facility, I presume that is a permanent closure of that facility?
John B. Gerlach: Yes, that’s correct, yes.
Greg Halter: Okay. Was that a leased facility or owned?
John B. Gerlach: No. We owned that, so we will be working to try to sell that.
Greg Halter: And I presume there would be some value to the sale there.
John B. Gerlach: Well, we would like to think so. It happens to be located very, very near downtown Atlanta. So, other than the challenging real estate environment in general out there today, hopefully we have got a property that would be in some demand.
Greg Halter: Okay. When you mention the forward buys, which would not really help in the coming quarter, how far out are those buys? Approximately what percentage of the usage would they represent?
John B. Gerlach: Again, Greg, we are going out in total in the six to eight month timeframe roughly. With near-term two, three months, it is pretty fully covered; and then it trends down from there.
Greg Halter: Okay. Is that a normal operating procedure or just due to the environment that we are in currently?
John B. Gerlach: Well, that is a new operating procedure; relatively recent anyhow. One we would anticipate will stick with, but certainly always subject to change.
Greg Halter: Okay. You mentioned wax costs up, any indication? Is it 10% or is it 50% on a year-over-year basis?
John B. Gerlach: It is probably north of 30%.
Greg Halter: Okay. You see no real indication that there is any easing of that?
John B. Gerlach: Not at this point, no.
Greg Halter: Are there additional vendors or anything you can do to alleviate any of those costs?
John B. Gerlach: You know, actually there seem to be a little bit fewer vendors contributing to that.
Greg Halter: Okay. Not a good thing.
John B. Gerlach: No.
Greg Halter: Relative to the CDSOA, do you expect that to continue in fiscal ‘09?
John B. Gerlach: I think that is problematic. There is the potential for a distribution to be made in the normal time period, the end of November, first part of December. But, at this point, Greg, it is difficult for us to predict whether or not we will see something this year or not.
Greg Halter: Okay. I don’t think they have come out yet with the number for ‘08. Is that correct?
John B. Gerlach: They have not come out with a final number. We have submitted a request for distribution, but that could be processed in any number of manners. So we are just going to sit back and wait and see what happens as we do just about every year.
Greg Halter: Okay. I think that is usually in September when they finally make an announcement?
John B. Gerlach: The notice usually comes out the end of November.
Greg Halter: End, of November? Okay. And, one last one. If I were to take out that $1.7 million for the favorable self-insured, insurance situation, does that take your food operating income to about $20.8 million? I think you said most of that was related to the food segment?
John Boylan: I don’t have the precise allocation to the food segment. But the majority of that income did apply to the fourth quarter income of the food segment.
Greg Halter: Okay. Would that be the same case for the restructuring and impairment charge of 1071 mostly or all related to the candle-glass side of things?
John Boylan: That is correct.
Greg Halter: So that would be an add back to their $3.48 million loss to get to a core number.
John Boylan: We would really not focus on that as being a core number, but I understand what you are trying to do.
Greg Halter: Okay. And, one last one. When you talk about price, is that strictly price? Or does it include size reductions in your products?
John Boylan: No, that is price when we are talking about it, Greg, although we do have some separate sizing initiatives going on, particularly actually in the candle business.
Greg Halter: Okay, all right, great. Thank you.
John Boylan: Thank you.
Operator: Your next question comes from the line of David Liebowitz.
David Liebowitz: Good morning.
John L. Boylan: Hello, David
John B. Gerlach: Hi, David.
David Liebowitz: Briefly, some of us don’t have access immediately to the 8-K. Could, you give us what the four quarters of earnings will now look like for ‘08, so that when we do our work for ‘09 we have some apples-to-apples comparisons?
John L. Boylan: When, you speak of earnings, David.
David Liebowitz: EPS?
John L. Boylan: EPS?
David Liebowitz: EPS, earnings per share.
John L. Boylan: Okay. I am speaking to fiscal 200 basic and diluted earnings per share from continuing operations
David Liebowitz: Exactly.
John L. Boylan: Okay. It is 48 for the first quarter of fiscal of ‘08, $0.51 [ph], $0.27 for the third and obviously $0.37 for the fourth. And $1.64 for the full year, as disclosed today
David Liebowitz: Okay. When I look at the numbers as reported, we show a $10.8 million net of tax for discontinued operations, and that drops you to $1.28 versus the $1.64. There seems to be a couple of cents discrepancy there?
John L. Boylan: For quarters, is that what you’re trying to do David?
David Liebowitz: Exactly
John L. Boylan: There can always be some rounding between adding up the quarters to a year-to-date, just depending upon rounding differences, so the quarters don’t necessarily have to add up to the full year because of the way weighted average shares maybe computed.
David Liebowitz: Okay, thank you on that point. Second point. Jay, you had indicated that you were not close to making any acquisitions. I believe on the last conference call, you had indicated there were either two or three that you were in talks with. Have those talks now ended? Or is it simply they are not moving forward as quickly as you had hoped?
John B. Gerlach: Yes, there’s still some conversation going on, on a couple of opportunities, David.
David Liebowitz: And, the last question. When you said there is nothing for sale within the operation at this time, because you believe values might improve going forward, how far out is going forward? Can we try to quantify that? Is that a fiscal year ‘09 issue or is it a fiscal year ‘10 issue?
John B. Gerlach: David, no. we haven’t quantified that specifically. We are thinking about both the market conditions from an M&A standpoint as well as the various conditions in the market that impact the performance of the business.
David Leibowitz: Okay. And my last question, being politically incorrect as I am, with all the talk about the green movement and organics and what have you, what percentage of your line would actually appeal to those who are looking to buy green?
John B. Gerlach: You know, from a true organic standpoint, David, it is really quite small. Now having said that, one of the things we actually did implemented during the fourth quarter was positioned and made the formulation changes necessary to take our refrigerated salad dressings to an all-natural product. And we do think we have different products throughout the line that might be viewed to have a green or a very, very clean ingredient label on them, but not necessarily organic.
David Leibowitz: Okay. Thank you, very much.
John B. Gerlach: Sure, you’re welcome.
Operator: [Operator Instructions]. Your next question comes from the line of Barry Posternak.
Barry Posternak: Good morning, guys.
John L. Boylan: Good morning.
Barry Posternak: I was just wondering, in the specialty foods business for the quarter, did the gross margin percentage basically reflect the broad commodity prices in effect during the quarter? Or did you get some benefit from older inventory or forward buying or some other stuff to help offset the effect of the current spot prices?
John L. Boylan: I think we always have some level of forward buys within our cost of goods sold. So, it can’t be said that the operating margins within the quarter reflected true spot prices. We do have an inventory that turns quite quickly, so to the extent that we are buying at spot that impact shows up generally within about a month. So, it’s not true spot, it is not all forward buy, it is a mixture.
Barry Posternak: Okay. Would there be any other? Other than the forward buys would there be anything else that would significantly impact the differential between your actual cost of goods and the current commodity costs?
John B. Gerlach: Well, other than certainly some cost-saving initiatives that we think are flowing through there, the benefit of our new plants helping a little bit, and some of the focus we’ve had on cost. But relative to the ingredient piece, it is pretty small.
Barry Posternak: Okay. And the forward buys you now have in place as of I guess the end of the quarter or going into next year, is that -- those were put on during Q4, fiscal Q4?
John B. Gerlach: Probably late in the quarter and then on into early this first quarter.
Barry Posternak: Okay. Then just finally, the gross margin percentage is it similar between food service and retail? Or is one of them higher than the other?
John L. Boylan: This would be a generalization, but retail tends to be more profitable from a contribution margin perspective than would be food service.
Barry Posternak: Contribution margin meaning…?
John L. Boylan: Net of all direct costs.
Barry Posternak: I’m sorry?
John L. Boylan: Net of all direct costs.
Barry Posternak: Okay, at the gross margin line, correct? Or operating line?
John L. Boylan: Would generally be true for gross margin as well.
Barry Posternak: Okay. Thanks very much.
John L. Boylan: You’re welcome.
Operator: There are no further questions. And at this time I’d like to turn the call back over to Mr. Gerlach, for any concluding remarks.
John B. Gerlach, Jr: Well, again, thank you for joining us today, and we’ll look forward to talking to you with our first-quarter release late October.
Operator: This concludes today’s conference call. You may now disconnect.